Operator: Good morning, and welcome to Mondelez International's third quarter 2015 earnings conference call. Today's call is scheduled to last about one hour, including remarks by Mondelez management and the question and answer session. I'd now like to turn the call over to Mr. Dexter Congbalay, Vice President, Investor Relations, for Mondelez International. Please go ahead, sir.
Dexter Congbalay - Vice President-Investor Relations: Good morning, and thanks for joining us. With me are Irene Rosenfeld, our Chairman and CEO, and Brian Gladden, our CFO. Earlier today, we sent out our earnings release and today's slides, which are available on our website, MondelezInternational.com. As you know, during this call, we'll make forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the Cautionary Statements and Risk Factors contained in our 10-K and 10-Q filings for more details on our forward-looking statements. Some of today's prepared remarks include non-GAAP financial measures. You can find the GAAP-to-non-GAAP reconciliations within our earnings release and at the back of the slide presentation. With that, I'll now turn the call over to Irene.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Dexter. Good morning. The third quarter macroenvironment remained challenging. But we continued to drive top-tier margin expansion while delivering solid organic revenue growth. Specifically, organic revenue grew 3.7%, led by our pricing actions to recover commodity- and currency-driven input costs, primarily in high-inflation markets. Adjusted gross margin increased 180 basis points to 39.1%, driven by strong net productivity and the early benefits of improvements in our supply chain. We expanded adjusted operating income margin by 170 basis points to 14.1% while significantly increasing advertising and consumer support. Adjusted EPS was $0.42, flat versus prior year on a constant-currency basis. We delivered strong operating gains. However, as expected, these gains were offset by below-the-line items, including dilution related to the creation of our coffee joint venture, as well as higher taxes. Our performance in the third quarter reflects continued progress in executing our transformation agenda. We further focused our portfolio. In July, we closed on the joint venture to combine our coffee business with D.E Master Blenders to create Jacobs Douwe Egberts, the largest pure-play coffee business in the world. As a result, we received more than $5 billion of cash, including the benefit of currency hedges, and retained a 43.5% interest in the JV. We strengthened our snacks business through two bolt-on acquisitions, including Kinh Do's biscuit business in Vietnam and Enjoy Life Foods, a leader in fast-growing allergen-free snacks in the U.S. We'll look for more opportunities in the future to strengthen our snacks business through additional bolt-on acquisitions like these. We also continued to aggressively reduce costs, to expand margins and provide the fuel to accelerate our growth. In the third quarter, we significantly expanded gross margin by generating net productivity of more than 3% of cost of goods sold, including the benefits from the installation of almost 30 Lines of the Future around the world. In addition, we remain on track to reduce overheads as a percent of revenue by at least 250 basis points between 2013 and 2016, with additional opportunities thereafter. As Brian mentioned at the Barclays conference in September, we're identifying even more indirect cost savings than our original target. This sets up well for continued savings beyond 2016. We're also well on our way to migrating more than 40% of back-office processes in finance, HR, and several other functions to global shared services. For each of these processes, we'll reduce costs, on average, by half, enabling additional savings through and beyond 2018. As these supply chain and overhead cost savings come through the P&L, we'll continue to expand gross and operating margins while stepping up investments to drive growth. We're already beginning to see the benefits of this virtuous cycle. In the third quarter, we increased advertising and consumer support as a percent of revenue by 50 basis points to more than 8.5%. Almost all of our incremental investment was behind our Power Brands in key markets and categories, to backstop our pricing actions, improve our share of voice, and accelerate the global rollout of proven innovation platforms, such as Oreo Thins in North America, base Oreo in Russia, Trident and belVita in China, and Bubbly aerated chocolate in India. In addition, we continue to invest in route-to-market expansion, especially in emerging markets, as we look to strengthen our capabilities and position ourselves to capture more than our fair share of growth as the economies in these markets recover. We're encouraged by this progress and remain committed to our strategy and transformation agenda. As we look ahead, there are three areas where we want to continue to sharpen our focus going forward: on cost savings, growth, and commercial execution. So we're also announcing some important organizational changes this morning. We've seen great benefit in consolidating our cost agenda under Brian Gladden, our CFO, and our growth agenda under our Chief Growth Officer. We now see a similar opportunity to sharpen our global commercial execution by creating a new role of Chief Commercial Officer, or CCO. Today, we're naming Mark Clouse to that position and appointing Tim Cofer, who currently runs our Asia-Pacific business, as Chief Growth Officer. Mark, in his role as CCO, will oversee the execution of the company's growth plan, with oversight over all five geographic regions, as well as the global sales function. This new structure should simplify and accelerate day-to-day P&L decision-making and tradeoffs, while focusing investments in those areas that will best drive profitable growth. Tim, in his role as CGO – with responsibility for corporate strategy; the global categories; global marketing; and research, development, and quality – will lead the development of next-generation innovation platforms and new business opportunities to accelerate future growth. Brian, Tim, and Mark, together with our region presidents, Daniel Myers, and our integrated supply chain teams, will work hand in hand to continue to advance our transformation agenda and accelerate growth on both the top and bottom lines. Now let's take a closer look at our top line results. As I said, organic revenue growth was 3.7%. Higher prices contributed 7.4 points, with most of the pricing occurring in emerging markets, as we recovered commodity- and currency-driven input costs to protect profitability. Vol/mix was down 3.7 points, largely due to elasticity in response to new pricing actions in markets like Brazil and Russia, as well as a negative 70 basis point impact resulting from our strategic decisions to improve revenue mix. Year to date, the vol/mix headwind from those decisions was 90 basis points. For the full year, we expect a headwind of up to 100 basis points, as we've shared with you before. Our Power Brands, which now represent nearly 70% of revenue, delivered solid growth of more than 5%. Emerging markets were up over 10%, due to pricing, with the BRIC markets growing mid to high single digits. Developed markets declined 0.5%, largely driven by our actions to improve revenue mix. Turning now to our results by region. As I mentioned earlier, pricing in emerging markets drove our growth this quarter. Latin America was up over 17%, driven by inflationary pricing in Venezuela and Argentina. Brazil was up low to mid-single digits, as we took additional pricing to recover higher input costs resulting from the recent weakening of the real. This pricing, along with softer categories as macroeconomic conditions deteriorated, pressured vol/mix in Brazil. We anticipated these difficult conditions and managed the business accordingly. As a result, we don't expect to have a material inventory destocking risk. Our EEMEA region was up 6%, led primarily by pricing in Russia, in response to the sharp devaluation of the ruble. We responded with a series of pricing actions that led to over 20% growth in Russia this quarter, which was broad-based across most categories. Vol/mix declined, however, as categories slowed in response to higher prices and weakening economic conditions. As in Brazil, we're actively managing our inventory levels and do not expect any material dislocation issues. Asia-Pacific was up 3%, with solid growth in China and Australia, partially offset by weakness in some other markets. China was up mid to high single digits, driven by strong performance in both biscuits and gum. India grew modestly, led by solid chocolate growth, in response to our stepped-up A&C investments. Turning to developed markets, Europe was down 1.6%, largely due to our strategic decisions to improve revenue mix. North America was up modestly, with solid growth in biscuits and candy, partially offset by continued softness in gum. Turning to our categories, year-to-date snacks are up approximately 5%, and about the same amount if you include powdered beverages and cream cheese. Currency-driven pricing remains the key driver of category growth. While our organic snacks growth is about a point below our categories, that's largely related to the 90 basis point impact of our actions to improve revenue mix. Looking at our overall market share, about 45% of our snacks revenues are gaining or holding share. Although we're not satisfied with this result, we're making sequential progress as expected as our competitors price, consumers adjust to higher price points, and we invest some of our cost savings into incremental marketing support. Let's take a closer look at each of our snacks categories. Biscuits grew nearly 6.5% year to date, and we grew about 5.5%, with strong performance in China, Brazil, and Russia. Shares were also strong, with about 60% gaining or holding, including increases in both cookies and crackers in the U.S., as well as share gains in Brazil. Power Brand revenues were up high single digits, led by Oreo, TUC, Club Social, and belVita. The chocolate category increased about 5.5% year to date, while our revenue grew only about 1%. This reflects the fact that we led significant pricing in most markets in response to rising input costs. Recently, competitors have begun to price, and in select markets, like the U.K. and India, we've stepped up A&C support. As a result, we're beginning to see improvements in both revenue growth and share. In fact, in the third quarter, our revenue grew low single digits, up from essentially flat in the first half. Chocolate market share also increased, from about 25% growing or holding in the first half to approximately 30% through September. While share performance remains below what we would like, much of this is due to our revenue mix improvements in Europe, including discontinuing low-margin chocolate product lines. Going forward, we expect share performance to continue to improve, as price gaps narrow and as our A&C investments pay off. The gum and candy category grew nearly 2% year to date. Our revenue was up 5%, with both gum and candy growing mid-single digits, led by growth of gum in China, and candy in the U.S. So, as you can see, we delivered solid top-line growth in the quarter, and share has begun to improve in response to increased marketing support in a number of key markets and categories. Let me now turn it over to Brian, who will provide an update on our third quarter margin expansion and earnings growth.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Irene, and good morning. We delivered strong margin expansion in the third quarter by executing our transformation agenda in a challenging macroeconomic and consumer environment. Starting with slide 9, you can see that adjusted gross margin increased 180 basis points to 39.1%. This expansion was driven by another quarter of net productivity of more than 3% of COGS. As expected, mark-to-market of commodity and currency hedging contracts was a 40 basis point headwind in the quarter, largely due to cycling of a gain in the prior-year quarter. Year to date, mark to market is a 20 basis point benefit. Adjusted OI margin grew 170 basis points to 14.1%. We continue to drive down overheads and offset stranded costs from the coffee transaction by leveraging zero-based budgeting and other cost-saving tools. These overhead savings, as well as lower supply chain costs, allowed us to continue to accelerate some A&C investments in a number of key markets and categories in the quarter to support our pricing actions and innovation platform launches, as well as to stimulate category growth and improve share performance. As Irene mentioned, we stepped up A&C by 50 basis points to more than 8.5% of revenue. Based on recent results, our investments are beginning to pay off. We're seeing improvements in our growth and share performance in chocolate in both Europe and India, and in addition our biscuits revenue in North America has begun to accelerate behind our increased marketing support and innovation. Now let's look at margin improvement by region. As you can see on slide 10, our cost reduction efforts have driven improvement in adjusted OI margins across all of our regions. In North America, OI margin was up 130 basis points, largely driven by strong gross margin expansion, which more than offset increased A&C investment. In Europe, margin increased 270 basis points, as strong net productivity and lower overheads more than offset increased A&C in that market. In Latin America, margin grew 60 basis points, driven by lower overheads. And in Asia-Pacific and EEMEA, margins increased 380 and 210 basis points, respectively, as strong gross margin expansion more than offset higher A&C support. . Adjusted EPS was $0.42, flat versus the prior year on a constant-currency basis. We delivered strong operating gains of $0.08, which includes a $0.01 benefit from acquisitions and a $0.02 headwind from mark to market as we lapped a gain in the prior-year quarter. Below the operating line, lower interest expense and the benefit from a lower share count offset a $0.04 headwind from taxes, as we cycled an unusually low effective tax rate in the prior-year quarter. Additionally, and as you know, we're now reporting our portion of the JDE's net income using the equity method below the line. While we don't expect to provide much regular color on the results of JDE, as it's a private company, we've said it would initially be dilutive, and it was this quarter. Some of this is driven by the timing of the close, and some is simply driven by the timing of integration and synergy execution. Prior to the closing of the JV, both partners increased shipments to the trade as a precautionary measure to ensure a smooth transition for customers, which affected JDE's third quarter revenue. While we continue to expect the EPS dilution for the next few quarters, we remain confident in the potential of the business and believe it will create significant value for both shareholders. Turning to return of capital, on slide 12 you can see so far this year we've returned $3.8 billion of capital to our shareholders. In addition to paying more than $700 million in dividends, we purchased $3.1 billion of stock, or nearly 80 million shares at an average price of just under $39 a share. In Q3 we bought back a little over $900 million of stock as we opportunistically stepped up our buyback activity, given how our stock traded during the quarter. This means that we have about $6 billion remaining under the current share repurchase authorization that goes through 2018. Let's turn to our outlook. Given our solid third quarter results, we're reaffirming our 2015 outlook and our 2016 adjusted OI margin target of 15% to 16%. For 2015, we still expect organic net revenue growth of at least 3%. On a reported basis, currency remains a sizable headwind. Based on current spot rates, we estimate currency to have a negative 13 percentage point impact for the year, a little more than our previous estimate of a 12-point impact. We continue to expect to deliver adjusted OI margin of approximately 14%, excluding 20 to 30 basis points of stranded overhead costs from the coffee transaction. We made good progress in offsetting most of the stranded costs in the quarter and expect to fully offset them by the end of the year. We continue to anticipate double-digit adjusted EPS growth on a constant-currency basis for the full year. Based on current spot rates, we estimate a negative currency impact of $0.33, the same as our previous estimate. With respect to free cash flow excluding items, we still expect it to be approximately $1 billion for the year. For modeling purposes, we've reduced our interest expense assumption to approximately $700 million, down from $750 million. We maintained our tax rate guidance in the low 20%s for 2015. And while we continue to be opportunistic with our share buyback program, we anticipate repurchasing around $500 million of our shares in the fourth quarter. In this scenario, we would still have approximately $700 million remaining in coffee transaction proceeds to spend in the first half of next year. So to wrap up, we delivered another solid quarter in a volatile and challenging macroeconomic environment. We're continuing to make excellent progress against our transformation agenda by focusing our portfolio on snacks and aggressively reducing our supply chain and overhead costs. This has enabled us to expand operating margins in each region while also fueling incremental investments behind our Power Brands and innovation platforms to drive revenue growth and improve market share in our key markets and categories. As a result, we remain on track to deliver our 2015 outlook, as well as our 2016 margin target of 15% to 16%. As the world's leading snacking company, we're one of few industry players with the assets, leadership, and capabilities to deliver strong top and bottom line growth over the long term. With that, let's open it up for questions.
Operator: Thank you. Our first question comes from the line of Andrew Lazar of Barclays.
Andrew Lazar - Barclays Capital, Inc.: – everybody.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Hey, Andrew.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Two questions for me if I could. First off, with margins continuing to come through as you expect, seems like the key question will be around really the mix between volume and price. And I guess I thought we'd at least start to see volume get sequentially better for the company, particularly with price gaps starting to narrow. But volume got a bit weaker sequentially, and we got more price than we'd modeled. And I guess European volume was still pretty weak despite a very easy year-ago comp. So maybe first could you just update us on the – again, a little bit more color on the price gap situation in Europe chocolate, and if you need to reassess the strategy there, like perhaps what you did in the U.K. Or have you seen enough movement in pricing in earnest that you kind of feel like you're going to see these price gaps narrow for real?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Yeah, Andrew, there's no question we are seeing our price gaps narrow, as we had expected. And as we said in our Q2 call, we do expect vol/mix to improve sequentially in the second half. Our underlying business is performing quite well. We're seeing some very encouraging signs as we look at chocolate in the EU, we look at biscuits in North America, we look at chocolate in India, for example. The factor that really impacted Q3 – there's really two. The first is that we did have to take some additional pricing in markets like Brazil and Russia in response to the significant devaluations of their currencies. And that just created another elasticity impact, which just put a little bit more pressure – again, in the near term – on vol/mix. And then the second is just, for the luck of the draw, we had a big heat wave this summer in Continental Europe, and that did have an impact on our chocolate business, so that as we were starting to see those gaps close and make the necessary investments, the impact of those investments just took a little bit longer than we anticipated. Net-net, we would expect that we should see continued revenue growth and share improvement as we make the investments focused in the key areas I've described and as we exit the year.
Andrew Lazar - Barclays Capital, Inc.: Great. Okay, thank you for that. And then, Brian, with respect to some of the supply chain work that you're doing, is there a way to give us, directionally even, a sense of how much that contributed to 3Q gross margins – and I guess more importantly how that now starts to build as we go forward into 2016?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yeah, Andrew, as we've been saying, it clearly is still early days on the supply chain reinvention work and the impact of the Lines of the Future. I would say the third quarter, we've begun to see some of that, but the majority of the – we talked about 3%-plus net productivity on COGS in the quarter. The majority of that's still driven by base productivity programs. So this is still one where I think, as we've been saying, the majority of the supply chain benefits and all the Lines of the Future that we've been investing in, as you work your way through startup costs and all the things that go with bringing those lines up, it does take some time, and it's really going to be a 2016 dynamic where you start to see some of those benefits.
Andrew Lazar - Barclays Capital, Inc.: Great. Thank you.
Operator: Our next question comes from the line of Robert Moskow of Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Hi, thank you. This will just be kind of a follow-up to Andrew's question. When I looked at Nestle's results, I thought I saw that they had chosen to not price in line with currency in chocolate in Brazil. And given how big of a competitor they are in Latin American markets in general, I was just wondering if this latest price increase that you took, is that one of the things that you might have to reassess? And are there any other, I guess any other Latin American markets where you see the same dynamic?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Well, first of all, Rob, I would say that our performance in Brazil has been quite strong in the face of some really significant macroeconomic challenges. We've actually grown or held share in all of our categories there. So, as we think about the challenges in chocolate, in many respects, 40% of our chocolate business is in Europe, and I've been clear about what some of the issues were there. Nestle did say in their call, as you said, that they did not price, but the facts are, as you start to look at individual SKUs, we are seeing movement. So we continue to monitor each of these key categories in our key markets very carefully, and if we need to continue to supplement some of our investments in these markets, as we did in the U.K. and to some extent in Germany, we will continue to do that. But for now Brazil actually has held up remarkably well, growing in the low to mid-single digits in the face of some very significant challenges. But, most importantly, we are holding or growing our shares in all of our categories there.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: And, Rob, I would just say, you look at the currency in Brazil, the third quarter currency, it's up almost 60% year over year. And year to date, it's up 35%. I mean, it's dramatic. The only other point I'd make, Rob, is just, this is also one of the markets where we've put additional A&C, as we've seen the opportunity to reinvest in the growth side of the business.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Yeah, and I can clearly see the good work that you've done in those markets, and you can see it in your results. Just broader speaking, though, if you look at your peers, they aren't taking pricing up to that degree in emerging markets, just in general. So I guess I would hate to see you set yourselves up for setting up price gaps that are bigger than you would hope for, and that was the reason for the comment.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Yeah, but again, Rob, we've got some very clear benchmarks with respect to those gaps. We are seeing them close around the world. The speed at which they close varies a little bit market to market, but I'm quite confident that we are managing the right balance between the margin expansion and driving growth, for today and for the future.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: Our next question comes from the line of Chris Growe of Stifel.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Hi. Good morning.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Good morning, Chris.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Hi. Just two quick questions, if I could, please. First would be, just to understand, the incremental investment in A&C has been pretty significant really all through the year. I think you made a comment, Irene, about hitting 8.5% of sales. I had been thinking more like 9%-plus, in terms of where you were headed for. Does that mean you were short this quarter? Or is 8.5% more the right number for where you want to be in terms of A&C investment here in 2015?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: No, actually, as we've said, Chris, we're going to make steady investments in A&C, as we see the good returns coming from those investments. We're up significantly versus prior year, and we will be for the full year. But we have said that our target for the long term is approximately 10% of revenue, and slowly but surely we're making our way to those levels. But the good news is, we are starting to already see the impact of the investments as a means of backstopping pricing and continuing to build our brand equity. So it's up quite significantly. It will continue to grow, as we have the affordability and as we see strong returns.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: And, Chris, a lot of discipline around tracking ROI around these incremental investments. And some of them, obviously, are going to work and deliver great returns, and some of them that aren't, we're paring those back quickly as we move forward. So a very detailed operating mechanism around those A&C investments.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Okay. That's very helpful. And I had just a quick question, if I could, on – your emerging market sales are very strong in the quarter, and I think you mentioned the BRIC countries being up mid to high single digits in the quarter, meaning you had a little bit of acceleration in other emerging markets. You've talked as well about route-to-market investments. Some of this A&C investment, I assume, is going towards these other markets as well. I just thought I'd get a sense of white space opportunities. Are those in part what's helping drive the better emerging market revenue growth overall? Is that where we're seeing the benefit coming through in the top line?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Actually, not yet, Chris. The route-to-market investments we're making today are high-return opportunities to expand distribution on proven categories and brands in key markets. And so we've talked about the investments we're making behind merchandising support, things like visi-coolers that help us in markets like India, improving our penetration in rural India. As we look at China, we're continuing to expand our traditional trade penetration in tier 1 and tier 2 cities and then expanding into tier 3 and tier 4 cities. Brazil, we continue to see the North/Northeast as a ripe area for investment. So these are near-in, high payback kinds of route-to-market investments. That said, we still see white-space opportunities for us to take our categories to new markets. And obviously gum in China is a great example, biscuits in India, for example. But as we look at our emerging markets, virtually all of them are one- or two-category markets. And it would be our expectation over time that we will be able to see all of our categories in each of our key markets, and that's what gives us great confidence as we think about the runway of growth opportunities.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Okay. Thank you very much.
Operator: Our next question comes from the line of Bryan Spillane of Bank of America.
Bryan D. Spillane - Bank of America Merrill Lynch: Hi, good morning, everyone.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Good morning, Bryan.
Bryan D. Spillane - Bank of America Merrill Lynch: Had just a question on Mark Clouse's new role as Chief Commercial Officer. And just wanted a little bit more color on two areas. One is, does it also imply or come with the creation of, like, a global sales force? Or will Mark be interacting with sales forces at the regional level? And then, second, one of the things that is cited in the press release is a focus on day-to-day P&L decision-making, and I guess I kind of read that as maybe a sharper focus on trade promotion spending and a way to kind of make it more efficient. So is that a correct read on one of the sort of key areas that you expect to see some focus on?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Absolutely, Bryan. That's exactly the way to read it. This is not about a global sales consolidation. We believe very strongly that the right aggregation needs to be at the regional level, but think of it more as a center of excellence, the opportunity to take best practices from one market to another. So in addition to making sure that the terrific growth agenda that Mark and his team laid out is now executed through our regions, we do see additional opportunities to capture best practices in terms of execution at point of sale, as well as building our capabilities in areas like trade optimization, as you suggest. So all of those things, I believe, will just help to further strengthen what has been very strong commercial execution.
Bryan D. Spillane - Bank of America Merrill Lynch: And in terms of the opportunity within trade, your trade spend, is it a major opportunity just to improve the efficiency there?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: We do see that as a big opportunity, and I think you'll be hearing more about that as time goes on. Obviously, the challenge in any of those decisions is getting the right balance between revenue and trade spending. Our goal is to try to find a way to make the dollars we're spending work harder for us. But that is a focus, and we do see that as an opportunity.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Our next question comes from the line of Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank Securities, Inc.: Good morning.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Hey, Eric.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Eric.
Eric R. Katzman - Deutsche Bank Securities, Inc.: I just have a couple of questions. I guess first, Brian, on the JV, it sounded like you – were you signaling that that might be more dilutive than you had initially forecast based on the – what sounds like a little bit of trade-loading in that business, or other developments?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: We're not really updating a view for ongoing dilution or accretion. We're only three months into the JV. We don't really have any new information that would lead us to have a different view on where we see that over a long period of time. We didn't really expect much benefit from the JV as you look at the first couple quarters here. I think we do expect that their performance will improve into the fourth quarter, I'd say modestly, and then – and we move into 2016, obviously quite a bit as they execute on the integration and synergy plans. So, yeah, I mean, there clearly were specific actions that we took, both partners, heading into the close of the joint venture that moved more inventory into the trade. That was intentional to really create a buffer and allow us to feel confident that we could manage through the startup of the new systems and order management and all that went with that, the closing process. But nothing new, Eric, in terms of our view of the opportunity here and the accretion dilution at this point.
Eric R. Katzman - Deutsche Bank Securities, Inc.: Okay. Thanks for that. And then I guess both to Irene and to you, Brian: I guess I'm not exactly – I guess I'm just a little bit concerned about the volume weakness in the quarter. I mean, it's hard from the outside to figure all this out, but you're spending a ton of capital to put in these highly efficient lines. And these efficient lines, I assume the volume that's going – that efficiency is a function of the volume that's going through them. And so to the extent that you have other, I guess, cost savings, your decision to price against currency results in weaker volume. It doesn't look like the A&C had a big impact or a positive impact in the quarter. So I guess I'm not really sure what the question is. But I guess I'm a little bit concerned that the decision on FX-related price versus volume weakness makes this whole transformation less powerful because of the fixed-cost absorption not being there. Or maybe you just kind of walk me through why that's not a concern.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Yeah, I guess, Eric, it's a fair question. But I would tell you that the impact on our volume is uppermost in our mind. But we constantly are evaluating the opportunity to make sure that the margins of these various franchises are attractive enough to warrant the investment, while recognizing that we do create some dislocation. We are leading pricing in most of these markets, and in markets like Russia, for example, we priced three times in the course of this year in response to the significant and rapid devaluation of the ruble. So I feel very good that we are managing to get our margins and protect our margins where they need to be. We are spending back as appropriate. And as I said in response to the earlier question, the aggregate Q3 results mask some of the impact that our spending is having. Take chocolate in Europe, for example. We chose to delay some of that spending until September, rather than into the summer, because of the fact that we had an unusually hot summer. And therefore it's not a surprise that it is just starting to have an impact now. So I think if you start to look at our shares over the last four-week period, we're seeing a very strong response as the categories in a number of these markets are now growing. You think about markets like India, for example. Think about the U.K., our latest 12-week share is up 1.3 points after share losses up until that point. The latest four weeks were up 3.6 points. So we're seeing very strong indications that we're getting a good return on the A&C investments. We are carefully monitoring the volume-pricing relationship, because as you rightly point out, fixed-cost absorption is important to us. But in the face of what we're doing, we're generating net productivity of over 3% of cost of goods sold. So I feel pretty comfortable. The algorithm is working, and we should see improved performance, particularly on shares, as we exit the year.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: And, Eric, I would just say as you think about capacity and what we're doing with the supply chain, I mean, we're making real-time adjustments to the capacity, where it goes, how much is volume-related versus in some cases actually closing down capacity sooner, and pulling in some of those programs, given what's going on in the overall market in category growth and volume growth.
Eric R. Katzman - Deutsche Bank Securities, Inc.: Okay. Thank you. Pass it on.
Operator: Our next question comes from the line of Matthew Grainger of Morgan Stanley.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Hi. Good morning. Thanks.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Matthew.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Just two questions. One, just to focus on the EEMEA region. You're obviously taking more pricing and you were able to protect profit dollars year on year this quarter. Just curious if you can give us any guidance of how we should think about your objectives going forward over the next several quarters, given currency macro pressure? Are you going to look to continue to manage toward protecting profit dollars or margins? And then as you move toward a period of fairly easy margin comparisons, is it feasible to expect margins to maybe remain at the kind of low double-digit levels we've seen over the past six months?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: So I guess the answer to the first question, Matthew, is that we are seeing the margins improve in response to our pricing actions. We are monitoring the balance very carefully. And as we've said a couple of times, the reaction that we're getting to these pricing actions is pretty much in line with our elasticity assumptions.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yeah, I think it's a volatile market, there's no question. So, I mean, as the year has played out, it's played out differently than I think we expected. In some cases we're having to make real-time, in-quarter decisions on pricing. But the agenda, in terms of getting supply chain in the right place, in terms of getting the right products in the market, I mean, those are all the things that we're focused on. We will have a period of some easier compares given we're lapping some of that volatility in the first part of next year.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: But I will say, if you look at markets like Russia, where as I said we priced three times in the course of this year in response to the significant devaluation, our shares are holding up remarkably well. And the reason for that is we have continued to invest in our marketing support, as well as innovation -
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yep.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: – and that playbook is working well for us around the world.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay, great. But fair to say we may still continue to see some of that same level of margin volatility. Or it's hard to say that may not occur?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: It's hard to predict what happens in those markets. I think that's the reality.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I think EEMEA, of course, is a massive case in point. So I think the volatility we're seeing there is more extreme than almost anywhere in the world. But, again, our focus is to keep our eyes on the markets, to understand where we stand from a share perspective. And, where we feel the need to supplement our investment, we're making those choices.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Thanks. And, Irene, could you just talk a little bit about the retail environment in the U.K.? Because there's been some renewed reports suggesting a more aggressive approach by retailers in how they're managing the confectionery category. And I know you've done a lot proactively here, but are you seeing evidence of another wave of this? Or could this be a risk factor looking out over the next year?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I don't think so, Matthew. I mean, the European retail environment is challenging. And I think we have been able to hold our own quite well. They're interested in some of the very same things that our retailers around the world are interested in: what's happening in health and wellness, what's happening on the innovation front. And as long as we continue to drive traffic to their stores, we're an important partner. I'd also tell you that we're increasing our e-commerce business with a number of partners in the U.K. who are very much at the forefront of this click-and-collect initiative that you hear about. And so I think the combination of all of those things gives us great confidence that, as we've now gotten our margins in Europe where we want them to be, that we should see a continued improvement in our overall revenue and share trends.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay, great. Thanks, Irene.
Operator: Our next question comes from the line of Alexia Howard of Bernstein.
Alexia J. Howard - Sanford C. Bernstein & Co. LLC: Good morning, everyone.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Hey, Alexia.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Alexia.
Alexia J. Howard - Sanford C. Bernstein & Co. LLC: Hi there. We've been hearing a little bit about some organizational changes and head count rationalization that may have been put in place over the last few months. Can you comment on the kind of structural changes that you might have put in place? And maybe the impact it may have on head count. I mean, we'll see that in the 10-K when it's published next year. Any order of magnitude would be very helpful. Thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yeah, Alexia. Look, I think these are the initiatives we've been talking about for a while when you think about overhead reductions, when you think about what we're doing with ZBB. I mean, the two big ones that we've spent time talking about, clearly a shared services model that we even mentioned in the comments today, where we're moving a significant proportion of our backroom processes around finance and HR and some other functions to outsourced partners in most cases. But that's causing significant changes in our org model and disruption around the world. But that's something that we've spent a lot of time working through a process to execute that, and we feel good about really how that's going. The second one is really moving to the category model, and that's something that we've been doing over the last, frankly, couple years. And really changing the structure of how we run the businesses at the region level and in the countries. So that is work that's been going on and, frankly, will continue as we optimize around a category-driven model. Those are the two big ones, and not really providing a lot more detail in terms of specific actions that go behind that.
Alexia J. Howard - Sanford C. Bernstein & Co. LLC: Okay, thank you very much. I'll pass it on.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Alexia.
Operator: Our next question comes from the line of David Driscoll of Citigroup.
David C. Driscoll - Citigroup Global Markets, Inc. (Broker): Great. Thank you and good morning.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, David.
David C. Driscoll - Citigroup Global Markets, Inc. (Broker): Brian, I think the guidance means that the fourth quarter operating margin is something similar to the third quarter. So maybe just slightly above that 14%, if my updated model here is done correctly and the quick math. And if that's right, then the real question is that, for 2016, you guys reiterated this 15% to 16% margin. I mean, we are here in October, and so I feel like 2016 is a stone's throw away. To go to the top end of that, to go to 16%, I mean, that's almost like 200 basis points – or rounding here – 200 basis points of improvement to get to that top end. That seems like quite a lot. At this point, kind of given a slow backdrop, Irene, a clear desire by the company to want to keep investing in the business in these white spaces around the world, doesn't that top end seem like a stretch at this point? Is that fair? Or are there some comments that you can provide here?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yeah, appreciate the question, David. We're obviously not going to provide an outlook for next year at this point. I would tell you your math makes sense as you think about the fourth quarter. I would tell you it's a prudent view of how we think about the fourth quarter, given the volatility that we see in the business, and some of the markets as we've called out. But it also allows us to have some flexibility around what levels we want to reinvest, and add additional A&C to the business, to get that balance between the top line and bottom line, and get some growth back. So we feel great about the progress with supply chain and shared services, as being key elements that are going to provide additional upside as we head into next year. We're at a point where we've seen pretty significant improvement. If you look at year-to-date margin improvements, it gives us confidence that that sort of a jump is reachable. So we're building on the momentum we have this year, and we'll update you on how we think about 2016 as we close out the year.
David C. Driscoll - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: We have time for one more question. Our final question will come from the line of Kenneth Zaslow of BMO Capital Markets.
Kenneth B. Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone. Just finishing up on a couple of quick questions. One is Salinas; can you give us an update on that? And how are the other projects of the reconfiguration going in certain areas, Bahrain and around the world?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Yeah. So far so good. We announced a $130 million investment last quarter in Salinas. It is one of the key drivers of our improvement in North American margins over time. And so far so good. So, as we said, most of our supply chain investments, as we think about the progress we're making in Bahrain, in China, in Europe, all around the world, we're making some very good progress on the investments that we've made, and they'll be a key driver – as Brian just said, it'll be a key driver of our performance as we go into 2016, and then into 2017-2018.
Kenneth B. Zaslow - BMO Capital Markets (United States): And my final question is, on inventory management, I know you guys have changed it over the last couple years. Can you give a little bit more in-depth idea of what has actually changed? Because this seems to be a problem with many other companies, and you guys have obviously navigated quite successfully over the last year, year and a half. And I was just trying to figure out what makes you guys more successful at this? What has changed?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Well, I think, Ken, we learned our lesson the hard way. And the facts are, we're not doing anything herculean. We're simply making sure we have the data, and we are looking at it at all levels of the company on a regular basis. And I think what we discovered in markets like China, for example, it's a fairly complex supply chain, and therefore keeping our eye on the pulse of the business is critically important. I referenced Brazil and Russia in my remarks because they're volatile, and it's imperative that we monitor our inventory situation to make sure that we're keeping track of demand. So it's really not rocket science, but I have great confidence that as we continue to experience volatility in this challenging macroenvironment, that we're well-positioned to manage our businesses and continue to deliver our commitments.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: We've made investments in IT tools and connectivity with our channel partners and trade partners to give us that real-time visibility, which is something we haven't had, so that's been an important addition to the process.
Kenneth B. Zaslow - BMO Capital Markets (United States): Great. I appreciate it. Thank you, guys.
Operator: That was our final question. I would now like to turn the floor back over to management for any additional or closing remarks.
Dexter Congbalay - Vice President-Investor Relations: Hi, this is Dexter. Thanks for everybody for joining. We'll be available for questions later on through the day. And, again, thank you for joining the call.